Operator: Good afternoon, and welcome to A-Mark Precious Metals Conference Call for the Fiscal Fourth Quarter and Full Year ended June 30, 2025. My name is John, and I will be your operator this afternoon. Before this call, A-Mark issued its results for the fiscal fourth quarter and full year 2025 in a press release, which is available in the Investor Relations section of the company's website at www.amark.com. You can find the link to the Investor Relations section at the top of the home page. Joining us for today's call are A-Mark's CEO, Greg Roberts; President, Thor Gjerdrum; and CFO, Cary Dickson. Following their remarks, we will open the call to your questions. Then before we conclude the call, I'll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of A-Mark's website. Now, I would like to turn the call over to A-Mark's CEO, Mr. Greg Roberts. Sir, please proceed.
Gregory Roberts: Thank you, John, and good afternoon to everyone. Thanks once again for joining our call. As we reported in our earnings release today, our fourth quarter and fiscal year 2025 results underscore the ability of our fully integrated platform to generate positive results during challenging market conditions. Despite the ongoing uncertainty in the physical markets, which has led to increased supply and range-bound premium spreads, we reported $17.3 million of net income non-GAAP adjusted net income before provision for income taxes of $53.1 million, non-GAAP earnings before interest taxes, depreciation and amortization of $64.4 million and diluted EPS of $0.71 per share for our fiscal year 2025. For the fourth quarter of 2025, we generated $10.3 million of net income, non-GAAP adjusted net income before provisions for income taxes of $19.2 million, non-GAAP earnings before interest taxes, depreciation and amortization of $29.2 million and diluted EPS of $0.41 per share. Our fourth quarter results improved from the previous quarter with a 99% increase in gross profit, a 233% increase in non-GAAP adjusted net income and a 2,167% increase in non-GAAP EBITDA, reflecting the benefit of our recent strategic acquisitions. We have made steady progress bringing Spectrum Group International, AMS Holdings and Pinehurst Coin Exchange under the A-Mark umbrella, managing inventory levels and completing automation upgrades at our AMGL facility with centralized operations now in place. We completed the migration of Pinehurst logistics operations from North Carolina to AMGL in Las Vegas. One example of our cost savings synergies we expect to achieve from our recent acquisitions. As we continue to progress our integration initiatives, the scale and efficiencies we're achieving will help to optimize expenses, create greater operating leverage and maintain costs at more optimal levels going forward. We have also made significant progress in our expansion into Asia with LPM, now fully operational in Singapore across both wholesale and e-commerce channels, further broadening our reach into the Southeast Asian market. We believe these acquisitions, combined with our growing international presence, strengthen our distribution channels and expand our reach into higher-margin collectible and luxury segments. With a broader and more diversified platform, improved operational leverage and a strong balance sheet, we enter the new fiscal year well positioned to capture growth across multiple channels. Now, I will hand the call over to our new CFO, Cary Dickson, who will provide a more detailed financial overview of our results. Then A-Mark's President, Thor Gjerdrum, will discuss our key operating metrics. Afterwards, I will provide further update on our business growth and strategy for the upcoming fiscal year and then take your questions. Cary?
Cary Dickson: Thank you, Greg, and good afternoon to everybody. Our revenues for Q4 fiscal '25 decreased 1% to $2.51 billion from $2.52 billion in Q4 of last year. Excluding a decrease of $94 million of forward sales, revenues increased $81 million or 5%, which was due to higher average selling prices of gold and silver, offset by a decrease in gold and silver ounces sold. For the full year, our revenues increased 1.3% to $10.98 billion from $9.7 billion in the prior fiscal year. Excluding an increase of $446 million of forward sales, -- our revenues increased $832.9 million or 15%, which was due to higher average selling prices of gold and silver, partially offset by a decrease in gold and silver ounces sold. Revenues also increased due to the acquisition of a controlling interest in Silver Gold Bull, which we refer to as SGB in June of '24, and the acquisitions of Spectrum Group International, which we refer to as SGI and Pinehurst Coin Exchange, which we will continuously refer to as Pinehurst in February of 2025. And finally, AMS Holdings, which we refer to as AMS in April of '25. Gross profit for Q4 fiscal '25 increased 90% to $81.7 million or 3.25% of revenue from $43.0 million or 1.7% of revenue in Q4 of last year. The increase was primarily due to the acquisition of a controlling interest in SGB in June of '24 and the acquisitions of SGI and Pinehurst in February '25 and AMS in April of '25. For the full fiscal year, gross profit increased 22% to $210.9 million or 1.92% of revenue from $173.3 million or 1.79% of revenue in the prior fiscal year. The increase in gross profit was due to higher profits earned by our direct-to-consumer segment, partially offset by lower gross profits earned from our wholesale sales and ancillary services segment. SG&A expenses for Q4 of fiscal '25 increased 135% to $53.4 million from $22.7 million in Q4 of last year. The overall increase was primarily due to an increase in compensation expense, including performance-based accruals of $17.6 million, an increase in advertising costs of $5.3 million, an increase in consulting and professional fees of $3.1 million and other expenses. Increases in SG&A expenses, including expenses incurred by SGB, SGI, Pinehurst and AMS, which were not included or only partially included in the same year ago period. For the full fiscal year, SG&A expenses increased 55% to $139 million from $89.8 million in the prior fiscal year. The increase is primarily due to an increase in compensation expense, including performance-based accruals of $24.1 million as well as increases in consulting and professional fees of $9.1 million, advertising costs of $8.4 million, facilities expense of $3.0 million and other expenses. SG&A expenses include expenses incurred by LPM, SGB, SGI, Pinehurst and AMS, which were not included or only partially included in the same year ago period. Depreciation and amortization expense for Q4 of fiscal '25 increased 201% to $8.6 million from $2.8 million in Q4 of last year. The increase was primarily due to an increase in amortization expense of $6 million related to intangible assets acquired through the acquisition of a controlling interest in SGB and the recent acquisitions of AMS and SGI. For the full fiscal year, depreciation and amortization expense increased 101% to $22.9 million from $11.4 million last fiscal year. The increase was primarily due to an increase in amortization expense of $12.9 million related to intangible assets acquired through our acquisitions of LPM, SGI, Pinehurst AMS and the acquisition of a controlling interest in SGB. -- an increase of $1.8 million of depreciation expense due to an increase in capital expenditures, partially offset by a decrease in JMV intangible asset amortization of $3.1 million. Interest income for Q4 of fiscal '25 decreased 34% to $5.3 million from $8.1 million in Q4 of last year. The decrease is primarily related to lower interest earned from repurchase agreements with customers of $1.4 million and other finance products of $0.7 million. For the full fiscal year, interest income decreased 4% to $25.9 million from $27.2 million in the prior fiscal year. The decrease is primarily due to a decrease in interest income earned by our Secured Lending segment of $0.8 million and other finance product income of $0.5 million. Interest expense for Q4 of '25 increased 34% to $12.9 million from $9.6 million in Q4 of last year. The increase in interest expense was primarily driven by higher overall borrowings related to precious metal leases, the trading credit facility and product financing agreements. For the full fiscal year, interest expense increased 17% to $46.2 million from $39.5 million last fiscal year. The increase is primarily driven by higher overall borrowings related to precious metal leases, the trading credit facility and product financing agreements, partially offset by the repayment of AM Capital funding notes that we had back in December of 2023. Earnings from equity method investments in Q4 decreased 201% to a loss of $0.8 million from earnings of $0.8 million in Q4 of last year. For the full fiscal year, earnings from equity method investments decreased 170% to a loss of $2.8 million from earnings of $4.0 million last fiscal year. The decrease in both periods was due to decreased earnings from our equity method investees. Net income on a GAAP basis attributable to the company for the fourth quarter of fiscal '25 totaled $10.3 million or $0.41 per diluted share. This compares to net income attributable to the company of $30.9 million or $0.29 per diluted share in Q4 of last year. For the full fiscal year, net income on a GAAP basis attributable to the company totaled $17.3 million or $0.71 per diluted share, which compares to net income attributable to the company of $68.5 million or $2.84 per diluted share last fiscal year. Adjusted net income before provision for income taxes, a non-GAAP performance measure, which excludes depreciation, amortization, acquisition costs, remeasurement gains or losses and contingent consideration fair value adjustment for Q4 fiscal '25 totaled $19.2 million, a decrease of 5% compared to $20.1 million in the same year ago quarter. Adjusted net income before provision for income taxes for the full fiscal year totaled $53.1 million, a 34% decrease from $80.3 million in the prior fiscal year. EBITDA -- another non-GAAP liquidity measure, which excludes interest, taxes, depreciation and amortization for Q4 fiscal '25 totaled $29.2 million, a 24% decrease compared to the $38.4 million in Q4 of fiscal '24. EBITDA for the full fiscal year totaled $64.4 million, a 40% decrease compared to the $106.5 million last fiscal year. Turning to our balance sheet. At fiscal year-end, we had $77.7 million of cash compared to $48.6 million at the end of the fiscal '24. Our nonrestricted inventories totaled $794.8 million, up by $215 million from the $579.4 million we had at the end of the last fiscal year in '24. And that completes my financial summary. Now, I will turn the call over to Thor, who will provide an update on our key operating metrics. Thor?
Thor Gjerdrum: Thank you, Cary. Looking at our key operational metrics for the fourth quarter and full year 2025, we sold 346,000 ounces of gold in Q4 fiscal 2025, which is down 23% from Q4 of last year and down 20% from the prior quarter. For the full fiscal year, we sold 1.6 million ounces of gold, which was down 11% from last fiscal year. We sold 15.7 million ounces of silver in Q4 fiscal 2025, which was down 38% from Q4 of last year and down 0.2% from the prior quarter. For the full fiscal year, we sold 73.6 million ounces of silver, which was down 32% from last year. The number of new customers in the DTC segment, which is defined as those who register, set up a new account or made a purchase for the first time during the period was 108,900 in Q4 fiscal 2025, which was down 81% from Q4 of last year and decreased 88% from last quarter. For the 3 months ended June 30, 2025, and June 30, 2024, approximately 30% and 92% of the new customers were attributable to the acquisition of AMS and the acquisition of a controlling interest in SGB, respectively. For the 3 months ended March 31, 2025, approximately 84% and 9% of the new customers were attributable to the acquisitions of Pinehurst and SGI, respectively. For the full fiscal year, the number of new customers in the DTC segment was 1,129,200, a 57% increase from the 718,500 new customers in the prior fiscal year. Approximately 79% of the new customers for the fiscal year ended June 30, 2025, were attributable to the acquisitions of SGI, Pinehurst and AMS. Approximately 73% of new customers in fiscal year 2024 were attributable to the acquisition of a controlling interest in SGB. The number of total customers in the DTC segment at the end of the fourth quarter was approximately $4.2 million, a 37% increase from the prior year. The year-over-year increase in total customers was due to the acquisitions of SGI, Pinehurst and AMS as well as organic growth of our JMB customer base. The DTC segment average order value, which represents the average dollar amount of products ordered, excluding accumulation program orders delivered to customers during Q4 fiscal 2025 was 2,443, which is down 15% from Q4 fiscal 2024 and down 21% from the prior quarter. For the full fiscal year, our DTC average order value was 2,886, which was up 19% from fiscal 2024. For the fiscal fourth quarter, our inventory turn ratio was 1.9, which was a 17% decrease from 2.3 in Q4 of last year and a 21% decrease from 2.4 in the prior quarter. For the full fiscal year, our inventory turn ratio was 9.1, a 1% decrease from the 9.2% last fiscal year. And finally, the number of secured loans as of June 30, 2025, totaled 445, a decrease of 9% from March 31, 2025, and a decrease of 24% from June 30, 2024. Our secured loan receivable balance at the end of fiscal year was $94 million, a 9% decrease from March 31, 2025, and a 70% decrease from June 30, 2024. That concludes my prepared remarks. I'll now turn it over to Greg for closing remarks. Greg?
Gregory Roberts: Thank you, Thor and Cary. Our recent acquisitions and growing international presence have strengthened our competitive position while expanding our footprint into higher-margin luxury segments. Our investment in infrastructure and automation technology at our Las Vegas facility has enabled us to centralize our operations, manage costs and allows us to scale up as market conditions evolve. Looking ahead to fiscal 2026 with our expanded brand portfolio and ongoing integration and optimization opportunities, we remain confident in A-Mark's long-term trajectory and our continuing ability to deliver shareholder value. That concludes my remarks. Operator, we can now open the line for questions.
Operator: [Operator Instructions] Our first question comes from Thomas Forte with Maxim Group.
Thomas Forte: So 3 questions for me. I'll go one at a time. The first one is a high-level question. You had indicated and you saw in the quarter an improvement in the performance versus the prior quarter. At a high level, though, I was curious where you think we are in the cycle right now.
Thor Gjerdrum: I mean we saw some real strength in April. May and June were a little more -- a little slower. What we've talked about the last 2 or 3 quarters, the continued higher spot prices, which result in higher carry costs for A-Mark as well as the headwinds as it relates to the premium in our -- particularly our silver products, it has continued. And we continue to battle these issues, and they are continuing. I do -- I am optimistic that our -- integration of our acquisitions and our continuing efforts to optimize and integrate and reduce the expenses in these acquisitions will ultimately is going to pay off. But at the moment, the market is about how it has been over the last 3 to 6 months.
Thomas Forte: Okay. And then for my second, you did engage in a lot of strategic M&A over the last 12, 18 months. Where are your thoughts today? It seems like you have more opportunities to take advantage of, but I don't know if you feel like you need to digest what you just did. But what are your current thoughts on strategic M&A?
Thor Gjerdrum: I mean I think we're always looking for opportunities, and there are still opportunities in the pipeline that we're looking at. I do believe that we closed 3 acquisitions in our Q3, and we did digest those, and we do believe that we've made good progress in integrating them, although we're not complete yet. I think that the team at A-Mark has done a great job with the integration, and I believe that we are ready to digest something else if the opportunity presented itself. And we're just trying to, as usual, balance our capital allocation between inventory and acquisitions and continuing to optimize what we've already purchased. So work is ongoing in all areas, but I certainly wouldn't shut the door on future acquisitions. I've said before for quite some time that when the market is slow, we believe that opportunities will present themselves and that the acquisitions that we can make now when the market is slower are a lot easier for us to digest and grow and expand than making an acquisition when the market is very hot. So feeling good about it. Door is open and looking for opportunities.
Thomas Forte: All right. So 2 more. I just thought of one more I wanted to ask quickly. So I think that the answer to this one is that they're still in their early days, but some of the acquisitions you did were intended to give you some element of countercyclicality. So where are we with those efforts?
Thor Gjerdrum: I mean, I think particularly in the Stack's Bowers area, we just concluded last Friday, our largest sale in history on the Rare Coin auction side. It was a $62 million sale -- over 9 days. We sold over 14,000 lots, a very good result. The team at Stack’s Bowers did excellent work getting that auction and those auctions out the door. And that particular market on the rare coin side is very strong right now. And to the countercyclical nature you just mentioned, it is proving out that we're benefiting on the higher-margin rare coin side right now than maybe on the 1 ounce silver rounds. So I believe that the strategy is sound. I think the acquisitions were appropriate and they were well timed, and we just need to continue to expand on them.
Thomas Forte: Great. And then last one. So it wasn't clear to me in the prepared remarks, I apologize if it was clear, and I just didn't understand. Have you finished fully upgrading your Vegas distribution center? I know you're adding in or implementing some pretty impressive tech -- is that fully?
Thor Gjerdrum: Yes. I would say we're 95% complete. From an infrastructure standpoint, we are complete. We continue to work on the software and IT side of it, integrating all of our different customers and all of our internal DTC customers, we are integrating that, but it is operational. And I would say that, like I said, it's mostly complete. We're very happy. The increased capacity and cost savings has been everything we expected it to be. We have been able to onboard a number of new clients there, which ultimately in the long term is going to translate into more business and give us opportunity to take market share when the market heats up.
Thomas Forte: The next question comes from Mike Baker with D.A. Davidson.
Michael Baker: Okay. A few for me. Starting big picture, you said, Greg, at the beginning, just the environment remains weak or soft or slow, whatever you said. Can you just remind us, bigger picture, what's a good environment for you guys? What are we from -- looking from the outside looking in, what do we need to see in the world for it not to be a slow environment. I mean, April, we had a lot of volatility around Liberation Day. I guess that's sort of calmed down. Is it just that the world is too good right now? What makes a good environment for you guys?
Thor Gjerdrum: I mean the world is too good if you're in the equities market, and that's where a lot of people are right now. It's hard to compete with the returns. As you point out, yes, April, there was a great deal of volatility. If you look at the [indiscernible] levels, they were very high. And our business performed very well in the first 10 days of April. The uncertainty as it relates to tariffs and as it relates to interest rates and our cost of financing has been negatively affected by a lot of the current administration's strategies. And I believe that when you ask the question, what's good for us? Well, certainly, volatility and some uncertainty in the equity markets would be good for us. The bigger picture macroeconomic issues that are generally good for us are fear and uncertainty. And our last really big run was the Silicon Valley Bank crisis. So these are things that would affect us positively. But we can't just wait and hope they're going to happen. I mean we're continuing to grow this business. We're continuing to take seriously our view of our SG&A and particularly our inventory and carrying costs. And historically, we've held a very good-sized inventory in preparation for higher premiums and for more activity. But really, over the last 9 months, we've probably had a bit too much inventory. So that is something that we're taking a look at. Certainly, the higher spot prices have put a lot of -- put a spotlight on precious metals, but they haven't particularly been good for us. Most of the demand and drive in the higher spot prices has been from central banks, and it has not yet translated into a FOMO type effect as it relates to our DTC customers. We see glimpses of change and of things kind of rebounding, but no what we could consider multi-month traction at the moment. So doing everything we can and just making sure we're in a position where if something happens tomorrow that we're able to take advantage of it.
Michael Baker: Understood. Okay. That's helpful. A couple of follow-ups. One, you said you mentioned tariffs. Remind us how are tariffs impacting your business right now?
Thor Gjerdrum: Well, certainly, the tariffs are causing a great deal of consternation as it relates to countries that are subject to tariffs and changing tariffs. In particular, a high percentage of the gold that comes into the United States comes from outside the U.S., particularly Switzerland, London and some other areas. There have been a number of occasions over the last 8 to 12 weeks, where uncertainty as it relates to where metal should be located to avoid tariffs has disrupted a number of our different places that we borrow metal or where we borrow dollars and the cost of carry has just been higher for us. I think also the uncertainty just as it relates to what will be taxed or what will be tariffed and what will not has caused some disruption in our hedge position, which historically has been a regular contributor to our profitability. And that what we call contango has had some periods of flipping to backwardation. So that in general, we get paid to have a short position and that reduces our carry costs in a backwardation situation, near-term spot prices are higher than longer-term prices, and that can negatively affect our profitability. So it has been -- I think we've managed it well, but it has certainly caused a bit of uncertainty in parts of our business.
Michael Baker: Yes. Okay. A lot there. If I could ask one more good news question. Your gross margin was really strong. So I get that gross profit dollars were helped by acquisitions, but what was the big driver to the margin so gross profits relative to sales? It was up...
Thor Gjerdrum: I mean I think the gross profit...
Michael Baker: 1.7 Yes, what was that?
Thor Gjerdrum: I mean the gross profit is up because we've added in gross profit from our acquisitions. We've also -- as Cary noted, we've added a lot of SG&A. So you -- our actual gross profit percentage margin is likely to be up because we've integrated the higher-margin businesses. But those acquisitions and higher-margin top line is just a minor percentage of our $11 billion annually in sales. The higher-margin businesses are a few hundred million dollars. So it's going to add gross profit. I mean our job right now is to continue to look at efficiencies and synergies and how to capture more of that gross profit and we can do that by making sure we're taking a close look at our SG&A as well as I do believe there's an initiative we're working on right now to reduce our inventories a bit and lower our cost to carry. Our interest carry cost, as you can see from the release, are very high. And historically, that has given us optionality as it relates to selling that inventory and being able to maximize the premiums we achieve. In the current environment, those premiums are -- have shrunk. So we just don't believe we're going to need to have the same inventory in the future.
Operator: The next question comes from Andrew Scutt with ROTH Capital.
Andrew Scutt: So you talked a lot in the -- on the call about greater exposure to international markets. If you look at it, I know revenue is not maybe the best indicator for your business, but as a percentage of revenue, it's grown substantially around 50% last year, over 60% year-to-date. Can you just kind of talk to us where you see that mix balancing out maybe over the medium and long term as you continue with these strategic acquisitions?
Thor Gjerdrum: Yes. I would say that we're very pleased. It took 6 to 9 months, but we've been able to integrate our LPM acquisition that was in Hong Kong, that is in Hong Kong. And LPM has been able to expand and open a retail facility in Singapore. We've also made a couple of hires to move more into the wholesale trading business in Singapore. And those areas are new to us. We're very optimistic of what we've seen, particularly in the more recent months as the opportunities there appear to be what we hope they would be. And so I think we just like the growth opportunity down there. I'm not saying that it's going to be immediately a material portion of our top line sales. But we are onboarding new customers, and we are -- we have gained access through our LPM brand to a number of new product offerings and higher-margin products that originate in China or in Southeast Asia. And having access to those products gives us optimism that this is going to be a new kind of frontier for us that we haven't tackled before. We continue to have good strong new customer growth numbers in the U.S. But certainly, we are very new to the Asian markets, and we see some good client onboarding there, and we're starting to see some very positive numbers.
Andrew Scutt: Great. And right know -- I mean, it is a soft environment. You guys have really expanded your DTC exposure to different types of markets, online sales over the phone sales. Are there any particular pockets right now that are currently showing promise? And kind of can you talk about how that expansion has benefited you in this environment?
Thor Gjerdrum: Like I said earlier, I think the [indiscernible] some higher premium bullion products as well as the rare coins in our new Stack’s Bowers brand has been very positive. I believe that our CFC finance business is strong right now. I think that is growing. We did get back over $100 million of our loan book in the last few weeks. And there does seem to be -- I don't know if it's connected to the overall economic environment or what it is, but we do see an uptick in new loans and new draws against existing loans. So those areas are good. But we're still buying back a lot of material from customers. Our DTC brands are buying back a very high percentage of what they're selling is coming through buybacks. We're keeping up with that with regular melt lots where we're actually melting quite a bit of stuff right now. So the premiums continue to be a challenge, and we're looking towards when that's going to change and an uptick in silver, in particular, over the last few weeks with silver getting above $40. We have seen a bit of positivity there from the silver buyer. So there's a few pockets of positivity. And again, I believe that we're headed in the right direction, and we're making the right adjustments with our business. So looking forward to the future.
Operator: [Operator Instructions] The next question comes from Gregory Gibas with Northland Securities.
Gregory Gibas: I wanted to follow up on what you mentioned earlier regarding backwardation. I know we talked about it last quarter. Just regarding the impact that maybe backwardation and the cost to carry had in the quarter in fiscal Q4 versus fiscal Q3, was it pretty similar? Or are you seeing it lighten up as there is a little bit more clarity in terms of tariffs?
Thor Gjerdrum: You asked -- your question is Q4 versus Q3 2025.
Gregory Gibas: Yes. And just kind of how it's trending maybe post that as well.
Thor Gjerdrum: I mean I don't think it's eased up at all. I think it continues to be challenging. Within the last 3 to 4 weeks, the White House announced that silver was going to be a strategic metal or was going to be a rare earth type strategic item. That threw a great deal of disruption into the silver market. And it does affect our ability to finance our silver inventory and as well as our hedge because a good portion of our hedge is in silver. But what it tends to do when you have these disruptions is it causes the curve in contango to flip and you have 1,000-ounce bars, -- there was a period 2 weeks ago where 1,000-ounce bars were trading at a $1 premium over the melt value for delivery into New York. I mean we're struggling to sell 1 ounce silver rounds at $0.40 an ounce over melt. So it gives you an idea of the flip. And when large traders around the world believe that they're going to get metal locked, the demand coming out of New York to get the metal into New York as soon as possible creates this very near-term spike in the premium over the spot price. So that is what leads to backwardation. And that's the definition of it is where future values are lower than near-term values. So to this point, we haven't seen this become long term. For the most part, you get announcements out of the White House or out of other parts of the government, and it creates a bit of immediate panic or a week or 2 of uncertainty. And then things tend to settle down again. I mean, we had an announcement that was kind of what, I guess, is fake news a few weeks ago where there was a rumor out there in the Financial Times, and there was a story that Trump was going to put tariffs and taxes on gold being imported from Switzerland along the same time that there was a lot of trade war chatter going on. In the end, Trump came out a few days later and said, no, I'm not going to tariff gold from Switzerland. But it was only -- this was 4 or 5 weeks ago, it was only in the last week that the administration came out with proper guidance to the import agents as to what code they were supposed to use for gold bars. There's just a lot of disinformation out there. I believe there's a lot of trading strategies going on taking advantage of some of this. I think in all of my analysis of our book, of our hedge book of where we're at, we have 20-year history of managing our book and managing a contango environment very profitably to A-Mark. But we are -- there are a few bumps in the road right now. And every morning, we wake up wondering what's going to be next. So that's really what's going on.
Gregory Gibas: Yes. I appreciate the details, Greg. And I guess I just wanted to follow up, too, in terms of the solid progress that you've made digesting those recent acquisitions. Could you maybe just go over the highlights in terms of what's been done and maybe what's on the horizon regarding integration work that's not yet completed with SGI and AMS?
Thor Gjerdrum: Sure. I mean I think the first big lift was for Cary and Jill on our finance team. They've done a great job of the purchase price accounting. We were able to complete our year-end. We're here talking and we have our release here. And I think the integration of the accounting for the acquisitions is 90% complete now and a great job by the finance team. We started and it was our plan first to integrate Pinehurst, and Pinehurst was a stand-alone business that we had a minority interest in located in North Carolina. And we have completed moving their inventory and all of their shipping and logistics, storage, pick and pack, all of that has now been moved to Las Vegas. Thor Gjerdrum spearheaded that along with Brian Aquilino and Vince from Pinehurst, and that's now complete. We've been able to eliminate a lot of redundancy and a lot of costs there. From the Pinehurst DTC side of things, we are continuing to look for redundancies and synergies that we can find with JM Bullion and our DTC operations in Texas. As it relates to AMS, I think we are in process of looking at where the synergies are, particularly with their marketing department and some of their marketing expertise that we're rolling out across some of our other platforms and again, looking for synergies and looking for redundancy in expenses that we don't have to incur. And I think on the stack side, we've moved some of our resources from El Segundo. We've moved them down to Orange County, and we are developing and building a more integrated trading desk down here. So we have a lot on our plate. We have a lot going on, but very excited about the opportunity.
Operator: At this time, this concludes our question-and-answer session. I'd now like to turn the call over to Mr. Roberts for his closing remarks.
Gregory Roberts: I'd like to thank our many shareholders once again for your loyalty and being with the company and joining our call today. Continued interest and support is important to A-Mark. I'd also like to thank our many employees for their dedication and commitment to A-Mark's success. I look forward to keeping you apprised of A-Mark's progress and turn it back over to John. Thank you for being on the call today.
John Moorhead: Before we conclude today's call, I would like to provide A-Mark's safe harbor statement that includes important cautions regarding forward-looking statements made during this call. During today's call, there were forward-looking statements made regarding future events. Statements that relate to A-Mark's future plans, objectives, expectations, performance, events and the like are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the Securities Exchange Act of 1934. These include statements regarding expectations with respect to growth, the delivery of long-term value, expense optimization, cost containment and operating leverage. Future events, risks and uncertainties individually or in the aggregate could cause actual results or circumstances to differ materially from those expressed or implied in these statements. Factors that could cause actual results to differ include the following: the failure to execute the company's growth strategy, including the inability to identify suitable or available acquisition or investment opportunities; greater-than-anticipated costs incurred to execute this strategy; our inability to execute on our cost containment and expense reduction programs, government regulations that might impede growth, particularly in Asia, including with respect to tariff policy; the inability to successfully integrate recently acquired businesses; changes in the current international political climate, which historically has favorably contributed to demand and volatility in the precious metals markets, but also has posed certain risks and uncertainties for the company. Particularly in recent periods increased competition for the company's higher-margin services, which could depress pricing; the failure of the company's business model to respond to changes in the market environment as anticipated; changes in consumer demand and preferences for precious metal products generally; potential negative effects that inflationary pressure may have on our business; the failure of our investee companies to maintain or address the preferences of their customer bases; general risk of doing business in commodity markets and strategic business, economic, financial, political and governmental risks and other risk factors described in the company's public filings with the Securities and Exchange Commission. The company undertakes no obligation to publicly update or revise any forward-looking statements. Listeners are cautioned not to place undue reliance on these forward-looking statements. Finally, I would like to remind everyone that a recording of today's call will be available for replay via a link in the Investors section of the company's website. Thank you for joining us today for A-Mark's earnings call. You may now disconnect.